Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the Fourth Quarter ended December 31, 2017. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] If you do not have a copy of the press release, please call Sard Verbinnen & Company in New York at +1-212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the investor support section on the Company's corporate Web site at www.geo-park.com. A replay of today's call may be accessed through the webcast in the investor support section of GeoPark corporate Web site. Before we continue please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements the Company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors including competitive development and risk factors listed from time to time in the Company's SEC reports and public releases. Those risks are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements but are not intended to represent a complete list of the Company's business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars unless otherwise noted. Reserve figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Andres Ocampo, Chief Financial Officer; Stacy Steimel, Shareholder Value Director; and Diego Gully, Capital Markets Manager. And now, I'll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you and welcome everyone to our 2017 fourth quarter and full year results conference call from Houston, Texas. Our team has GeoPark firing on all cylinders. Through good science and engineering we found and produced more oil and gas. We drilled 35 wells with a success rate over 85% including four new oil field discoveries. Our biggest focus was on appraising our large Tigana/Jacana oil play in Colombia, where we further pushed out field boundaries and grew reserves and asset values. Companywide, we exited 2017 producing over 30,000 barrels per day with proven and probable reserves of 159 million barrels and exploration resources more than 1 billion barrels. Today, we are producing over 33,000 barrels per day. Through innovation and efficiency, we reduced our capital and operating costs. We continued beating down operating cost by another 9% and dropped the cost to drill, complete and put on production a 12,000 foot well in Colombia at less than $3.5 million. Our finding and development cost were again and industry leading $4 per barrel and less $3 per barrel in Colombia. Through organic cash flows, we self-funded our work and investment program. For the third year in a row, we were able to grow our company from our own cash generation. Our 2017 EBITDA more than doubled with $55 million in the fourth quarter and $176 million for the year. Through effective capital allocation, every dollar of new investment created multiples of net present value. With an investment of $106 million, our certified 2P net present value grew by more than $400 million to a total of $2.3 billion. In other words, we invested less than $2 per share to increase our value by nearly $7 per share. Through balance sheet management, we extended our debt maturities, lowered our cost of capital and improved our credit rating. We closed a 2024 bond for $425 million at 6.5% which was substantially oversubscribed by top tier investors. And with our cash flow growth, our net debt to EBITDA ratio fell to 1.7 times and S&P increased our rating to B+. Through engagement with our neighbors and conscientious operations, we operated safely, cleanly and without interruption. GeoPark's in-house developed SPEED program is proving to be a competitive and enduring advantage for us in our different environments and communities. Through regional knowledge and scouting, we acquired new high-impact acreage and projects. Last quarter we bid for new projects simultaneously in four countries, Argentina, Brazil, Ecuador and Mexico with success in two. We acquired new exploration acreage in Brazil and exciting group of assets in Argentina with production, cash flow and exploration and unconventional upside. We also picked up more high potential acreage surrounding our prized Llanos 34 block in Colombia. And to support our growth strategy, we just announced a strategic partnership with ONGC, the state oil company of India, the world's fastest growing oil and gas consuming nation, to help us expand our portfolio of assets across Latin America. Through rewarding and motivating workplace, we are able to train and continue to attract talented people to expand our capabilities. With our long-term approach and goals, we are continuously investing in our knowhow and capacities to be the best in our business. Through efforts to more widely share our performance story, we were the number one performing E&P stock on the New York Stock Exchange. And we have a long way to go. Our certified 2P net asset value equals $29 per share, nearly three times our current share price. With higher oil prices now, our big organic project inventory comes in to play and our country business units are working to upgrade programs and accelerate our production and cash flow targets for the year. Our team now has a proven 15-year track record of continuous growth and we are just getting warmed up for the big opportunity coming our way. Thank you, and we will be pleased to answer any questions.
Operator: [Operator Instructions] Your first question comes from the line of André Hachem of Itau BBA.
André Hachem: Congratulations on the results. I have two quick questions. The first one is related to Peru. Could you please give us an update on how you are seeing exploration going on this year? How the works with the local communities and environmental license are ongoing, and what are your expectations towards, the whole campaign towards 2018. My second question is related to Chile. Could you please comment a little bit more on your strategy of under-investing in the asset or let's say not investing in the asset as much. And if you are considering a possible farm out of the asset going forward? Thank you.
Unidentified Company Representative: Hi, Andre, good morning and thank you for your questions. To your first question on Peru, this year we are focusing on finalizing the environmental impact study. We expect to have those finalized around end of the year or before the end of the year. And also we are continuing to work on bringing a partner to the project. We mentioned in the previous call we have a couple of proposals and we are discussing the basic terms but hopefully we will be able to secure a partner also before the end of the year. Then for next year we are looking forward to start activity on the existing wells that already exist on Situche Central field. So as a reminder, this is a discovered field with a [indiscernible] certified reserve that has already two wells on the field. That our first activities are going to be to test this well by putting them on production. We expect that to happen in 2019 and looking to hopefully have our first oil by the end of 2019. Then with respect to your question in Chile. We for the last couple of years, given our capital allocation, meteorology where we rank every project in our wide inventory across the region. We make all those projects compete and obviously over the last couple of years most of the capital has been allocated to Colombia. Because the returns, the paybacks that we are getting there are multiple times bigger than we are getting in other places. However, now with higher oil prices our teams are looking to all the inventories and that includes Chile, to see if there are projects that we would like to move forward or that they would like to move forward in this environment. And just more recently, just to finish on Chile, just more recently we announced the successful testing of Uaken which is a new play in the south of Chile. It's a shallow gas play that our team thinks can be replicated in a number of other opportunities also in the third block. So we are going to be doing some more activities in Chile during the rest of the year. To the partners question, yes, we always entertain partners in the assets that we have. This is a risk business and as a basic policy we always try to get partners in every project that we have. So we would have partners in Chile as well.
Operator: [Operator Instructions] Your next question comes from the line of Jenny Xenos of Canaccord.
Jenny Xenos: Congratulations on the record results. I have three questions, if I may please. First of all, I didn’t see in the press release a mention of status of the LG earn out. When do you expect your interest in the Colombian joint venture to increase to 84% from the current 80%. Second question is with regards to Brazil, I saw that gas prices there were up 8% to $5.70 per mcf due to an inflation adjustment last January. Has there been a similar adjustment in January of this year and what you are forecasting for gas prices in Brazil as well as operating costs as I see that they are down quite substantially from $8 per boe to $3.40 per boe in Q4 of '17. And finally, could you please us an update on your drilling and testing program year-to-date. Thank you.
Unidentified Company Representative: Hi, Jenny, good morning. Thank you for your questions. I will try to cover them. So the first one about the LG earn out in Colombia. We expect, that earn out gets triggered every time they recover one time their investment. The recovery gets done through the dividends that they receive, we both receive effectively from Colombia. So we are expecting to close the financial statements this month, actually next week -- sorry, this week on Colombia. And then we will have the unit to pay up a dividend. We will both receive that dividend. That is going to be the trigger for the first jump of 4% of our equity interest. The implementation of that may take some time because it's not automatic. We need to sign papers and some administrative things that need to go forward. So I would assume somewhere around June, July this year we hope we have that incremental 4% interest in Colombia. But the trigger that actually gives us the right for that to happen, that is going to happen before the end of March. Then your second question about gas prices in Brazil. That adjustment was done in 2017. In 2018 there was a small deflation actually. So there wasn’t an increase, an additional increase as a result of inflation adjustment on prices in Brazil. So we are seeing it certainly flat compared to last year for 2018. And also on the cost side, the reduction that you see is mainly as a result of increased production this year. Higher production this year, given that the cost there are mainly fixed cost. So when production goes up, there is a big absorption effect on that operation. And then update on the drilling campaign this year. So we currently have three rigs operating in Llanos 34, 3 drilling rigs and two work order rigs, so total five rigs in Llanos 34. I am starting with Colombia. The three drilling rigs, one of them is moving from Chachalaca, which is an exploration well that just finished drilling. We have good indications from logging information both on Mirador and Guadalupe and we are going to be testing these wells, Chachalaca Sur 1 in the next week. So we hope we will have news from that well fairly soon. That drilling rig is moving to the Tigana southwest area where it is going to drill a couple of wells, Tigana southwest 5, 4, 8 and so on. The second rig is currently drilling in the northern part of Tigana. Today it's drilling Tigana north 7, is around halfway through. And then the third rig -- and then, sorry, after Tigana north 7 it's going to continue drilling some Tigana north wells. 9 and 8 are coming right after that. And then the third rig is in the Jacana area. It is finishing drilling and about to start testing Jacana 20 and following days it's going to continue drilling Jacana, 21, 22, 24. So that’s pretty much what we are doing in Llanos 34. I mean it's a full blown campaign and we are very excited about results that are coming out. On Brazil, we drilled the exploration well at the beginning of the year. We are testing and we expect also to have results soon. And then that’s pretty much for the activity that is going on today. There is an exploration well in Brazil in the fourth quarter this year and then we have an exploration well in Argentina, Rio Grande Oeste which is an adjacent exploration prospect to the discovery of last year. It is going to start drilling in May this year.
Operator: Your next question comes from the line of [Ejra Ian of Radiant] [ph].
Unidentified Analyst: Congratulations again on the results. Could you elaborate a little bit on the ONGC partnership. I know you have similar or maybe similar agreement with LGI. How do those two things mesh with each other or they carve out different areas for the different operators, or who do you foresee on that.
Unidentified Company Representative: Good morning, [Ejra] [ph]. Thank you for your questions. We are very excited about this new partnership with ONGC. As you know, they have some assets in Latin America and they are the fastest oil consuming nation in the world. And we expect, the basis of this partnership is build a portfolio of assets in Latin America. It’s a joint acquisition partnership. So our idea is to combine our strength, GeoPark's operating and very wide platform in the region jointly with ONGC's scale and knowledge of this region. And we expect to be able to get some good acquisitions, hopefully, this year. As we said at the beginning, we always work with partners. We have a partnership with LG. They are our partners in Chile and Colombia and we would also look at opportunities with them. We find this new partnership with ONGC that maybe they are more aggressive in looking into opportunities in Latin America.
Unidentified Analyst: You said that ONGC already has assets that they might want to bring you in to take another look or is that something that’s not under discussion currently.
Unidentified Company Representative: I mean it is not the core of the agreement but it is something that we could evaluate together. Some of the assets that they have are in the areas of Llanos 34. So obviously for them, it's interesting to see how effectively we are drilling in Llanos 34 and how cost efficient we are in an area that is very close by. So we also have other ideas that we can work on together. So looking into each other assets is not the core or not the main goal of the agreement, but we will certainly look into each other assets and see if there is anything we can help each other with.
Unidentified Analyst: Right. And in terms of the project that you are working on at Llanos 34 to reduce the transportation cost there. Could you give a little bit of update on potential pipeline? When you proceed on something like that? What kind of cost that would be to you?
Unidentified Company Representative: Yes. This year I mean the project of connecting Jacana with the central pipeline system has already started. We expect to have that finalized by the end of this year, and we expect that to reduce transportation cost by at least $1 to $2 per barrel. Starting in 2019.
Unidentified Analyst: For those barrels only, right?
Unidentified Company Representative: Right. The ones that we transport for Llanos 34 which today account for probably 25,000 out of the 33,000 that we are producing.
Unidentified Analyst: And how much was the capital cost for that?
Unidentified Company Representative: Between $16 million to $20 million net to GeoPark.
Unidentified Analyst: One more question, if I may. You have been considering looking at Mexico, how do things fare or how do those things look today given the potential of changes in approach in ten country.
Unidentified Company Representative: We bid on a number on bidding rounds in Mexico. In all of them we were outbid by other people that were bidding probably very high prices. And this is something that we see all the time in different basins and in different places in the world. Places that get overheated by people coming and bidding very high bids. Through time we expect that to normalize and we have a long term approach. So we want to enter Mexico the right way. I want to enter Mexico at right prices as we always do in every country that we go in. So we are going to continue participating, continue developing relationships with local partners there. Relationships with Pemex, with CNH, with the different actors in the Mexican industry. We have a long-term view. We don’t expect -- we don’t see big changes in our approach as a result of this new view of potential changes arising as a result of the elections. We think the changes that have been done substantially are going to remain for a long time.
Operator: [Operator Instructions] At this time there are no further questions. I will now return the call to Mr. James Park for any additional or closing remarks.
James Park: Well, thank you to everybody for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations and invite you to please call us at any time for any information. Thank you and good day.
Operator: Thank you for participating in today's conference call. You may now disconnect your lines and have a wonderful day.